Operator: Good day and welcome to the Grupo Financiero Galicia First Quarter Earnings Release Conference Call. As a reminder, today’s call is being recorded. At this time, I would like to turn the conference over to Pablo Firvida. Please go ahead, sir.
Pablo Firvida: Thank you. Good morning, ladies and gentlemen. Welcome to the Grupo Financiero Galicia first quarter of fiscal year 2012 conference call. I am Pablo Firvida, Head of Investor Relations. With me today are some members of the management of the Bank and Grupo. We want to thank you for attending this call. I will make a short introduction in order to explain the operating conditions under which the reported results have occurred and summarize the Bank’s performance during the quarter then we will take your questions. Some of the statements made during this conference call will be forward looking statements within the meaning of the safe harbor provisions of the US Federal Securities laws. These forward looking statements are subject to risk and uncertainty that could cause actual results to differ materially from those expressed in the forward looking statements. During the first quarter, international and financial markets continue to exhibit a significant reduction in volatile, mainly explained by the more active role of the European Central Bank, providing liquidity to the financial sector. During this period, financial assets showed a very strong upward trend. Economic growth moderated in the U.S. compared with the previous quarter and European economy faced a mild recession. Under the influence of this international scenario, the Argentine economy decelerated its pace of growth. Private estimates point to a 2.5% year-over-year growth in the first quarter of this year, compared to a 3.9% in the fourth quarter of fiscal year 2011, while in the quarterly basis, GDP grew a modest 0.2%. During the quarter, national fiscal revenues increased 29% year-over-year, similar to the 30% recorded in the fourth quarter, while growth of primary expenditures grew from 26% in the fourth quarter to 31% year-over-year in the first quarter. Therefore the primary surplus for the quarter amounted to 2.2 billion pesos, 2.7 billion pesos lower than a year before. Consumer prices slightly increased its growth pace expanding 2.5% in the quarter, as measured by the official index and 5.3% according to private estimates. While annual inflation rates as of March 2012 reached 9.8% and 21.9% respectively. On the monetary front, in the first quarter, the portfolio realization process continued diminishing due to controls over dollar purchases. We estimate that outflows were around $2.7 billion compared to $3.3 billion for the prior quarter. The Argentine Central Bank contracted the monetary base by 2.3 billion pesos in the quarter and exchange rate increased from 4.29 to 4.36 pesos per dollar representing a depreciation of 1.6% in the quarter. Average interest rates paid by private banks decreased during the quarter. In March, the average rate on pesos-denominated time deposits for up to 59 days decreased to 12.9% from 17.3% in December 2011, while the average rate on overdraft decreased 438 basis points to 21.1%. Private sector deposits at the end of March amounted to 346 billion pesos with a 6.8% growth during the quarter, and a 28.1% inter-annual increase. Peso-denominated deposits increased around 8%, and dollar denominated deposits decreased nearly 1%. Time deposits increased 12%, while transactional deposits grew 3.1%. At the end of the quarter, total loans for private sector amounted to 300 billion pesos, recording a 4.5% increase from December 2011 and a 43.5% inter-annual increase. Turning now to Grupo Financiero Galicia, net income for the quarter amounted to 281.7 million pesos, mainly due to profits in Banco Galicia for 256.6 million pesos and Sudamericana Holding for 20.7 million pesos. Banco Galicia’s net income for the quarter amounted 270.2 million pesos compared to a 235.3 million profit in the same period of fiscal year 2011. Annualized return on assets and equity for the bank reached 2.4% and 29% respectively, while the financial margin and efficiency recorded slight improvements as compared to the first quarter of fiscal year 2011. The banks credit exposure to private sector reached 38.6 billion pesos up 38% during the last 12 months and deposits reached 32.5 billion pesos up 34% during the same period. At the end of the quarter the banks estimated market shares of both private sector loans and deposits were 8.56% and 8.86% respectively. Regards to asset quality, the ratio of non-accrual loan portfolio to total loans to the private sector shows a sight decrease of 10 basis points in the last 12 months, ending the quarter at 3.14% and its coverage with allowances for loan losses decreased 3 percentage points reaching 137%. Even though these figures are similar to those of the year before and still low in historical terms, they show signs of deterioration when compared to those of the previous quarter when the NPL’s were 2.63% and the coverage 152%. The net financial income increased 52.4% as compared to the same quarter of previous fiscal year. And the average interest earning assets grew by 12.7 billion pesos as compared to the same quarter of the previous fiscal year, as a consequence of the 9.3 billion pesos increased in the average portfolio of loans to the private sector, and while this year increased 271 basis points. Interest bearing liabilities increased 8.7 billion pesos during the same period due to the increase of the average balances of time deposits under securities, while its costs increased 306 basis points. Net income from services increased 37.5% year-over-year with a very high growth in fees related to deposit accounts to credit cards and to insurance. Provisions for loan losses for the quarter amounted to 255.6 million pesos, 81.2 million pesos higher than in the same quarter of the prior year. Administrative expenses were 43% higher than the same quarter of the previous year with personal expenses growing 40% as a consequence of the salary increase agreement with the unions of the growth in personal and our provision on accounts of future salary increases recording during this quarter. The remaining administrative expenses grew 47% due to the expansion of 23 branches in our distribution network during the last 12 months and to the impact of inflation. The income tax charge was 210.1 million pesos, 80.6 million pesos higher than in the first quarter of fiscal year 2011. As a year-ago the bank still have tax loss carryforwards. As of March 31, 2012 the bank’s exposure to private sector excluding debt securities issued by the Argentine Central Bank reached 1.4 billion pesos or 2.6% on total consolidated assets. At the same date, the bank’s consolidated computable capital exceeded by 1.8 billion pesos, the 3 billion pesos minimum capital requirement, a 6.5% increase are compared to the excess recorded a year-ago, and 58.4% over the capital requirement. As of the end of the first quarter, the bank’s liquid assets represented 29% of the bank’s transactional deposits and 39% of its total deposits, similar levels of liquidity of our peer group. We are now ready to answer the questions that you may have. Thank you.
Operator: (Operator Instructions) And we’ll take our first question from Nicolas Chialva with Itaú Bank.
Nicolas Chialva – Itaú BBA: Hello, good morning. Pablo, thank you very much for the conference call. My question is regarding the outlook for interest rates more than bank including, you have been accumulating cash in first quarter of the year and loan growth has a slight uplift you said. So having this in mind, I’m wondering that you will exceed your outlook for interest rates, both passive and active?
Pablo Firvida: Okay. Hi, Nicolas. We keep the deal we have in the previous conference call or at the beginning of the year that basically the level of rate was going to come down during the first half of the year to at least at around 12%. And in the second half of the year, it will go on or it will resume the growth trend that it have on the second half of last year. But to lower levels, perhaps to a 17% to 18% level. We always say that that we are not very sensitive to interest rate increase because our loan book is very short. So in terms of margins, were we see, I’d say stability of the margin for the rest of the year and this level of 11.7% we have in this first quarter. Regarding the liquidity you mentioned, there is a seasonal effect typically in the first quarter, due to the summer holidays, January and February there is lower demand for loans particularly in SMEs. So as deposit in pesos move at a very high growth rate, liquidity was also higher than perhaps for what we were expecting at the beginning.
Nicolas Chialva – Itaú BBA: Okay. Thank you very much Pablo.
Pablo Firvida: Okay.
Operator: (Operator Instructions) We will now go to Federico Rey with Raymond James.
Federico Rey Marino – Raymond James: Hi, good morning. I’d like to have – if you can give us an idea of asset quality in terms of deterioration along the year and if that is to continue, are you seeing excess reserves during the year? Thank you.
Pablo Firvida: Okay, hi, Federico. Again, the first quarter of the year has a seasonality in terms of asset quality. In particular, this year, the wage negations of all the unions are being delayed. So the purchasing power of the society in general is at the low parts with in the year after there is this increase in salaries once a year, and clearly, the purchasing power increases and typically the asset quality improves. So despite, we see a deterioration of the NPL ratio for this year, clearly the trend, the slope of the curve will be different. So for example today, we have an NPL ratio of 3.1 coming from 2.6 from the previous quarter, clearly we will not see this 50 basis point increase in the rest of the quarter. If I had to give a number I‘d say something like 3.4%, NPL at the end of the year and yes perhaps reducing all the coverage, but from 137 to 130 above this level is nothing dramatic.
Federico Rey Marino – Raymond James: Okay, thank you.
Operator: (Operator Instructions) And we’ll now go to [Philippe] (inaudible) with BTG Pactual.
Unidentified Analyst: Yes, good morning, Pablo and team. Thanks for taking my question. I guess my first question is on wages and negotiations with the Syndicate’s. You said that it was being delayed a little bit. So I was wondering what you are expecting in terms of timing and what your expectations are? What you think the increases will be when negotiations are over. And my second question is with regards to deposits, I know there is a bit of seasonality effect in terms of liquidity in the first quarter, but it seems deposits grew quite a bit faster for the whole system on the first quarter. Maybe you could comment on this on whether it's a reaction to the capital constraints imposed by the government or whether there is some other dynamic going on?
Pablo Firvida: Hi, Philippe in terms of the union agreements and discussions, the delay is not just for the banking employees. It’s for all the unions in the country. And what I heard and read because it’s kind of a negotiation starting up public is that the bank’s association we’re thinking something like 18% increase for the year. It’s a number that appear many times in the papers, even it’s all by the different government officials, while the banking union should be asking something like 24%. So the negotiations are – they are not improving. But I guess that the different unions don’t want to be the first one to agree percentage, so everybody is playing on that. And we were thinking something like 21% increase, but we have to wait. In the case of deposits, the increase in the deposits in pesos, yes it’s tied to – impart to the controls on the purchase of dollars, but this is sole effect of less demand for loans and really not related to this. Now, the liquidity we have is because the deposits have grown at a higher rate than the demand the demand for loss particularly from the corporates and the semis. It’s not the case for individuals, but keep growing at very good rate.
Unidentified Analyst: Got it. Thank you. Can you comment on your expectations for lower GDP this year?
Pablo Firvida: Yes. Clearly, we see a deceleration compared to the previous year. All the private consultants was saying that last year, the GDP grew from 6.5% to 7%; our chief economist is looking at something between 2.5% to 3% in that range.
Unidentified Analyst: Okay, great. Thanks a lot.
Pablo Firvida: You’re welcome.
Operator: It appears there are no further questions at this time. I’ll now turn it back to our speakers for additional or closing remarks.
Pablo Firvida: Okay. Well, thank you for attending this call. If you have any questions, please do not hesitate to contact us. Good morning. Bye-bye.
Operator: Ladies and gentlemen, that does conclude today’s conference call. Thank you for your participation.